Operator: Good morning, ladies and gentlemen, and welcome to the EZCORP's Fourth Quarter and Full Fiscal Year 2017 Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to Jeff Christensen, Vice President of Investor Relations for EZCORP. Please go ahead, Jeff.
Jeff Christensen: Thank you, Kelly. And good morning, everyone. During our prepared remarks, we will be referring to Slides, which are available for viewing or download from our website at investors.ezcorp.com. Before we begin, I'd like to remind everyone that this conference call, as well as the presentation slides contains certain forward-looking statements, regarding the Company's expected operating and financial performance for future periods. These statements are based on the Company's current expectations. Actual results for future periods may differ materially from those expressed or implied by these forward-looking statements, due to a number of risk and other factors that are discussed in our annual, quarterly, and other reports filed with the Securities and Exchange Commission. Now, I would like to turn the call over to Mr. Stuart Grimshaw. Stuart?
Stuart Grimshaw: Thanks, Jeff, and good morning everyone. I’d like to just start by acknowledging that we've probably had a quarter of unprecedented natural disasters. And sometimes, it's actually great to be involved in an industry that responds to customers positively after such tragedies occurred. And I think both ourselves and First Cash, in particular, had a great job in meeting the needs of our customers in a timely manner. And we are there for them in their time of need. And I think being part of an industry such as that is something that's – I know that our team feel very proud of. So I'd just like to mention that going into it. We started this journey in July 2015, where we said to each of you that we want to be the leader in responsibly and respectfully meeting our customers' desire for access to cash whenever they need it. Over that period of time, I think we've delivered really well. In this quarter that we've just entered into continues the trend and represents a very strong outcome in light of some of the natural disasters that we have confronted through this period of time. So we turn to Page 3. I think there are four key highlights that we just want to touch on. Our first is the U.S. Pawn stores have had a terrific year, which is a big scale business to deliver outstanding performance. In those areas unaffected by the natural disasters, same-store PLO is up 3%. Our PLO per store unadjusted continues to lead the market, and we've maintained their constant yield of around 14% on that PLO indicating that is a quality portfolio that we have been driving for quite a period of time. U.S. Pawn is now 83% of total pawn profit before tax. That was 87% in 2016. So when we drop down to the extraordinary performance our Mexican business has achieved, we've seen the Mexican Pawn contribution is now 17%, up from 13% in 2016 and growing rapidly. Same-store PLO is up 11%, 13 consecutive double-digit quarters that we're compounding on double-digit numbers, which is quite extraordinary. Profit growth up 80% CAGR in the two-year period, which we'll refer to in Slide 5. We actually opened 10 new de novo stores in FY 2017, we believe there's future capability within that geography for both acquisition and more de novos. Further, the third point is we have – we acquired further growth potential in Latin America through the GuatePrenda acquisition, which we'll touch on later in the presentation. But now we have 41 of that total pawn stores in Latin America, which is significantly different than where we were seven years ago. This market is compelling proposition to us. We've talked about this previously but for us, this represents a very attractive growth market for us. And we are very happy with the acquisition, and I'll touch on that a little bit later on as I said. Importantly all of activity has continued to lead to strong earnings growth. EBITDA is up 39% to $88.5 million, which is a strong performance over the period of the year. Our GAAP EPS is up to $0.21 a share in the fourth quarter and continues to impress from our perspective. We continue to achieve operating leverage through the businesses, which Danny will talk and I'll point to as well, our corporate expense, which we indicated some two years ago, which was close to $65 million it is tracking towards our set of target of $50 million appropriately. And we have continued to strengthen the balance sheet with a very strong liquidity position. Turning to Slide 4. What you're seeing in Slide 4 is the continued excellent performance in the U.S. Pawn. Over the two years, our growth is quite impressive, particularly when you compare it to the only public listed competitor that we do have. We continue to achieve positive PLO growth and as you’ll recall, when we started down this journey, our business is one of lending first. And we continue to focus on that heavily. And when you – when we look at what that equates into, the operating leverage, you can see on the right-hand side of that slide, particularly in the first quarter, when net revenue growth was up 1%, we're able to translate that into a 20% profit before tax outcome through managing our expenses in a very disciplined manner. On to Slide 5, which is the mix in pawn and it's very unusual to see such strong growth numbers in any industry. But if you look at the last four quarters over the two years, the compound growth of strong double-digit numbers where we're achieving 31% to 48% per annum is very impressive in anyone's language. And then when you look over to the page as to how that again equates into profit before tax, these numbers are very, very solid. 76%, 25%, 56% and 64% improvement in profits before tax are outstanding. We still believe we have potential to continue to leverage that business in Mexico to continue the strong outcome-driven approach. On Slide 6. We focused very heavily on what are the margins we're achieving out of this business. On a consolidated basis, using continuing operations as the basis for the calculation the organization has achieved 36% CAGR growth and EBITDA over the three years. The EBITDA to net revenue margins improved from 12% to 23%, and when we trek across to both Mexico and the U.S., you can see how the U.S. scale proposition holds well at a stable margin of 31%, and then you see the growth potential – the growth actualization we're getting out of Mexico where the EBITDA and net revenue margins improve from 23% to 35%. As I touched on previously, the diversification that we've achieved actually provides strength to the business, 41% of our total stores based in Latin America, and we see the growth there being very, very attractive to us. So with that introduction, I'll pass over to Danny.
Danny Chism: Thanks, Stuart, and good morning, everyone. First I do want to mention our upcoming Investor Day with analysts and institutional investors in Las Vegas coming up on December 14, with the reception in the evening before. Now on to the results. Our U.S. and Mexico Pawn segments as Stuart had mentioned, delivered solid net revenue expansion in the fourth quarter and the full year despite several natural disasters. We further leverage this into significant earnings increases through two key actions: first, by effectively executing our strategic initiatives to create long-term profitable growth; and second, by managing our cost structure. Let’s take a closer look at how this happens, starting with the consolidated GAAP results on Slide 7. As Stuart mentioned, it was another strong quarter. EPS increased $0.52 to $0.21 per share. EBITDA rose $28 million to just under $19 million on strong growth in both the U.S. and Mexico Pawn segments, and 98% of that EBITDA growth flowed through to the profit before tax line. For the full year, we reported a 91% growth in EBITDA and net income from continuing operations of almost $34 million. Pawn loans outstanding, or PLO, was up 1% to $169 million at the end of the quarter. The U.S. Pawn segment delivered market-leading, same-store PLO growth. This rose 3% in stores unaffected by the hurricanes. Mexico PLO jumped to 19% or 11% on a constant-currency basis. We estimate that the hurricanes reduced U.S. Pawn loan balances by about $5 million at the end of the year. I’ll give you more details on this and its estimated impact on earnings in a few minutes. We effectively managed our expense structure, leveraging the $1 million increase in net revenue into a $28 million improvement in EBITDA. Net interest in the quarter included $2.3 million of discrete items. The most significant was a $5.3 million debt extinguishment charge, partially offset by a $3 million gain on the restructuring of the promissory notes related to the Grupo Finmart sale. Two favorable items decreased our income taxes in the quarter. First, we were able to utilize a capital loss carry forward on which we had previously recorded a valuation allowance, providing a $3 million tax benefit. The Grupo Finmart note restructuring generated the capital gain that allowed us to utilize this carry forward. Second, the company experienced lower state income taxes. The income tax rate in the quarter would have been approximately 36% without these discrete items. And I expect the 2018 tax rate will remain in the mid to upper-30% range. Slide 8 presents our results on a normalized basis after adjusting for the estimated impact of natural disasters, other discrete items in constant currency. The trends are similar to the U.S. GAAP results, with adjusted EPS of $0.22, $0.01 higher than the GAAP results. You can see the reconciliation of GAAP to non-GAAP figures on Slide 24. Here are the few items worth noting. On an adjusted basis, net revenue in the fourth quarter increased 1% in the U.S. and 13% in Mexico. Our consolidated merchandise sales margin was 36%. This remained consistent with the same quarter last year and within our target range of 35% to 38%. Operations expenses improved to 70% of net revenues in the quarter and 69% for the full year. We expect operations expenses to represent a similar percentage of net revenues in fiscal 2018 based on our current forecast. We again drove significant savings in corporate expenses, as Stuart had mentioned, which were 38% lower this quarter – than this quarter last year. Although the current year’s results improved dramatically, incentive compensation expense was lower in fiscal 2017 due to the higher target hurdles in the 2017 plan. Adjusted net interest improved slightly due to the interest income on the promissory notes associated with the Grupo Finmart sale. All said and done, adjusted EPS improved $0.39 to $0.22 per share. Turning to Slide 9. This presents our U.S. Pawn results adjusted for the estimated impact of natural disasters and other discrete items. As we said many times before, PLO is the most influential driver of revenue and profitability. In U.S. stores unaffected by the hurricanes, PLO was up 3% on a same-store basis, driving similar increase in pawn service charges. The merchandise margin remained consistent in the U.S. at 36%. Efforts to manage our expense structure enabled us to leverage a 1% increase in net revenue into a 20% increase in profit before tax to $26 million. As you know, we’re investing in a number of initiatives to improve the customer experience and further increase our operating efficiencies. These include enhanced data analytics and an upgraded point-of-sale system. Among other benefits, those improvements will help us streamline the transaction process and allocate greater loan values to our better customers. This enhances our ability to meet their cash for needs, a key for EZCORP, while limiting the amount on loans less likely to be renewed. Turning to the graph on Slide 10. You see a healthy growth in net revenue over the last four quarters, and our cost controls magnify the impact on profit before tax on U.S. operations. Our efforts have resulted in consistent improvement during the year. Profit before tax steadily moved from a 9% decline in the first quarter to ultimately a 20% improvement this quarter over the prior year. Slide 11 shows you the double-digit growth in Mexico same-store PLO, which drove a similar percentage increase in pawn service charges. The segment delivered 13% higher net revenue, even higher on a constant-currency basis. Leveraging our expense structure allowed us to drive a 64% improvement in profit before tax, reaching $5 million in the quarter and now representing 17% of our total. We opened four new stores this quarter for a total of 10 during the fiscal year. We believe Latin America provides many attractive growth opportunities, and we plan to tap those through organic growth in existing stores, new store development and further acquisition opportunities. The graph on Slide 12 shows you the continued strong compounding growth in net revenue. The real story here is how dramatically we’ve increased profit before tax this quarter and for the full fiscal year. Merchandise margins were healthy, up 100 basis points from this quarter last year. Turning to Slide 13. You’ll see the impact from the few hurricanes in the U.S. and a major earthquake in Mexico during the quarter. The effect was an estimated $2.9 million reduction in profit before tax in 2017. We estimate the U.S. PLO balance experienced about a $5 million reduction as of September 30 as a direct result of the storms and related temporary store closures. This represents about 3% of our consolidated PLO balance. The ripple effect will depress pawn service charges, fresh inventory available for sale and sales until the PLO return to normal levels, and we expect that will happen after the annual tax refund season in 2018. The earthquake in Mexico luckily had only about $100,000 impact and is not expected to materially affect fiscal 2018. As you can see on Slide 14, we continue to strengthen our balance sheet and liquidity. This will provide flexibility to seize opportunities as they arise. Our cash balance is up 150% to $164 million, and our leverage ratio is down to only 2x adjusted EBITDA. The improvement came from three primary sources. First, we continue to generate cash flow from operations. Second, the convertible notes issued in July increased our cash on hand and allowed us to pay down shorter-term debt. And third, we’re receiving payments on the promissory notes associated with the Grupo Finmart sale. We restructured the notes in September, and I’d note that the first payment of principal and interest due under the restructured notes was primarily received in October. Restructuring the notes is a great outcome for us. It enhanced our security profile as well as our return and we'll receive monthly payments rather than annual lump sums. On Slide 19, you can see the details regarding the restructured notes. We removed some risk from the balance sheet as well. In early July, we issued convertible unsecured notes due 2024. This provided about $140 million in net proceeds at a very attractive fixed coupon of 2.78s%. Almost $52 million of those funds were used to retire all the secured debt, which carried a substantially higher cost of funds. In addition, we retired about $35 million of convertible notes that come due in 2019. Those actions significantly extended our debt maturity profile. About $54 million of the net proceeds were used to help fund our recent acquisition of 112 pawn stores in Latin America. With that, I'll hand the call back over to Stuart.
Stuart Grimshaw: Thanks, Danny. And to follow-on from Danny's point just made on Slide 15. We acquired GuatePrenda post-balance stake. But I just want to touch on it again because this is a significant acquisition for us. The largest acquisition in terms of store count and we spent probably about four months during the due diligence on this business. And each month, we spent close to the business. We got more and more excited about the opportunity. We've had ownership for about a month now, and everything we've seen on that month supports our decision to purchase this business. We now have 46% of our Latin American pawn stores located in the geography of Guatemala with 72 stores; El Salvador 17 stores; Honduras, 12 stores; and Peru 11 stores; and we continue to see opportunities to expand in those geographies and in an adjacent geographies. It's a very segmented market. We are fortunate we have actually been able to inherit with the acquisition of very high quality management team with a lot of in-country expertise. And the important thing that we do highlight, which is in the last dot point of the compelling financial benefits is the – the business of GuatePrenda has leveraged per store loan balance higher than our existing stores in Mexico. And what we are acquiring is a very high quality portfolio with a high quality management team. And we remain very excited about the opportunities that this presents to EZCORP and to our shareholders. Turning to Slide 16, when I look at the strengths, I'd probably highlight the four points that we try to – denied at the front is that we have a very strong profitable and performing U.S. business, which is scalable and is being leveraged efficiently and effectively through not any of the new partner systems that we're putting in place such as the POS and data analytics but a very high quality store team, which continues to focus on meeting the customers needs for cash. We have a Mexican business, which is continues to outperform. And everything we see in Mexico continues to see the opportunities that can come out of the geography. And we also have a very high quality management team there. And as you saw earlier on, the growth in PLO balances with double-digit compounding is quite unusual and it's great to see. The acquisition of GuatePrenda gives us access to further growth markets and we believe that, that will leverage the business to greater levels than we have seen. And the diversification, we see is being very positive towards the way we look at our business. And most importantly that’s translating into outstanding financial returns for our shareholders. With that, I think we like to open up for questions.
Operator: Thank you, Mr. Grimshaw. We would now like to turn the call to questions. [Operator Instructions] Our first question comes from Kyle Joseph from Jefferies. Please go ahead.
Kyle Joseph: Hey, good morning, guys and congrats on a pretty good quarter given all – everything that happened during the quarter. So just touching base first, in terms of the Alpha restructuring, can you give us a sense for sort of the run rate of interest income we can expect going forward or it – just a little bit lumpy?
Danny Chism: Yes. Actually, if you take a look on Page 19 of the deck, we've tried to lay out there for you the – both the GAAP as well as the cash interest income that we would expect from the revised Grupo notes. There's one that shows GAAP interest income, and then that's comprised of the two primary components: amortization of the deferred compensation fee and the cash interest income. So you can look at both the impact on the income statement as well as statement of cash flows.
Kyle Joseph: Yes. Perfect. I see that now. Apologies for missing that. And then going back to the Latin American acquisition in terms of the additional stores, can we assume sort of similar store economic than just any [Indiscernible] what the margins at those stores were versus your existing base in Mexico?
Stuart Grimshaw: We haven't disclosed that, Kyle. I mean, what we have disclosed is the average PLO balance per store is higher than in Mexico. I think it would be logical to assume that some of the inherent behaviors and traits we see in our Mexican business are translatable into the economics of the Latin American business. So that would be the way I would sort of point towards that.
Kyle Joseph: Got it. And than in the new geographies that you guys are now in as a result of that acquisition, can you give us a sense of the size of those markets that relates to Mexico?
Stuart Grimshaw: Mexico is a fairly big market. And what we're dealing with is Guatemala, which has a population of probably around 15 million people. El Salvador and Honduras around 7 million people each. And then you have Peru, which is, obviously, of a much larger population. So we see Peru as being very interesting due to the scale you can achieve in that area. I think with the other three geographies, we believe there's opportunity to do de novo openings but not to the same set we can probably get out of the further South geography. So certainly, de novo through the Honduras, El Salvador and Guatemala and we'd look to both de novo and acquisition should something come up in adjacencies all within those regions.
Kyle Joseph: Got it. And I really appreciate the color you guys gave in terms of the impact of the hurricane and whatnot. But even when we ex-out the impact there, it does look like retail sales in the U.S. were a little bit – the growth is slowing a bit. Can you give us any sort of color there? And I just point specifically to the inventory turns. The number you provided in the slides, if there is, is it demand? Is it competition? Or is it even in just one quarter, we can’t even call it a trend?
Stuart Grimshaw: Well, I mean, as an analyst trend’s your friend, but I don’t think one quarter sort of makes the trend that you don’t want to follow. I think that there's a couple of things. I don't think our sales performance was good as what we would have liked. And so we're implementing strategies at the store level to improve that. The other thing I would say though is that we've probably focused more on achieving a stable gross margin through that period of time. And I think you'll see that our competitor actually had a negative sale through that with a decline in the gross margin at the same time. So even though our sales were roughly maintained, our margins we think, is quite important. We think we should be getting greater volume of sales out of that store front, so we don’t think what you’ve seen is a trend. We believe that we have the right strategies in place to return that growth to a positive region.
Kyle Joseph: Got it. Well, thank you very much for answering my questions.
Stuart Grimshaw: No problem. Thanks, Kyle.
Danny Chism: Thanks, Kyle.
Operator: [Operator Instructions] Your next question comes from Greg Pendy from Sidoti. Please go ahead.
Greg Pendy: Hey, guys. Thanks for taking my call. Congratulations on a good quarter. Just wanted to understand. You mentioned sort of the ripple effect and kind of how you think that’ll alleviate around tax season. Can you kind of walk us through it – through that so we better understand – we know why tax season specifically? And why the lingering effect will continue to that point?
Danny Chism: Yes. So as you know, pawns are portfolio business, right? And that either shrinking or growing, that takes time to move that portfolio and the earnings follow that time growth or time shrinkage. A smaller PLO is both going to generate smaller pawn service charge revenues until you rebuild that, and it will also generate less fresh inventory through loan defaults that then generally turn into sales of fairly high margin as that’s the youngest bucket that requires the least discounting to move that merchandise. Some of the rationale for the timing, actually, the timing we have, I think, is reasonable to even possibly a bit aggressive. As we look back – I mean, these were unique storms, right? Even between each other, between Harvey and between Irma, one was more of a flood event, where the other was more of a wind event, which has somewhat different effects. And also has a different amount of relief money coming in from FEMA or other organizations that alleviate some of our customers’ need or cash from us, which we think that demand will return but there’s some temporary effect of that, and then takes time to rebuild it. As far as the timing now that’s – that the largest impact that we see on this next year is suppression of pawn service charge revenues, probably two-thirds of the effect that we ultimately will see and about one-third of the effect will be through sales or gross margin or gross profit. And as far as looking at the timing, the best historical point of reference that I could see was back on Hurricane Ike in 2008. That actually took us about nine months to recover the full loan balance at that point. We have actions in place that we think will deliver that return in more like a six-month timeframe. And I think a lot of the relief funds will dry up long before that and give us the ability to rebuild that portfolio by that point. Hopefully that helps provide a little color for you.
Greg Pendy: Yes. And I guess, just one follow-up. Is that going to change, I guess, temporarily the mix of inventory out there in the system? Are you seeing that impact, I guess? Because some people saw some of their pawnable merchandise most likely damaged and sort of leased to the system. So is there going to be sort of a merchandise mix in some of those stores?
Stuart Grimshaw: I think the – what we’ve seen is obviously the sales activity has been heightened due to exactly the reason that you’ve seen. But we have sufficient inventory in the system to be able to meet the customers’ demand, and we think that will become pawnable, will remain within the local community pawn cycle as a result of that. So that if we weren’t able to meet those demands, I think what you’re saying is rightful, but we have sufficient inventory around to be able to do that.
Greg Pendy: That’s helpful. Thanks a lot.
Operator: [Operator Instructions] Our next question comes from Michael Cohen from Opportunistic Research. Please go ahead.
Michael Cohen: Hi, guys. Thanks for taking my question. Just a quick rather mundane question. In terms of looking at the G&A/corporate expense and the OpEx on a kind of sequential quarter basis, it’s – was there anything that shifted from one bucket to the next? Because G&A seemed abnormally low and OpEx seemed a little high. Am I missing something there?
Stuart Grimshaw: No, we’re not that creative, Michael. We actually – corporate expense has been managed down consistently, so there’s no change in the buckets. But what I do like to see is actually if we can invest in the operating business rather than the corporate center. I think that’s a really good outcome to know that the dollar I invested into the stores returns revenue, whereas the dollar I invested into the corporate center sometimes doesn’t have the same return. So the buckets are actually quite exclusive.
Michael Cohen: Great, thank you. That’s good to hear. And then, can you just give us an update on the point-of-sale? And it’s specifically kind of what percent of the stores are fully rolled out? And what your initial impressions are at this point?
Stuart Grimshaw: Actually, we’re now at 180 stores at the moment. We have slowed the rollout down as we’ve dealt with our customers through the hurricane and in Mexico, through the earthquake. But we’ve always said that the customers are the most important at store, we don’t want to distract our store people, and meeting the needs of our customers, particularly at a time like this. We’re about to go into a pretty big selling season as well, so we’ve slowed it through into the New Year. The performance of the system has been sound. It takes about two days for our staff to get trained up, so that’s pretty good, but we’re not risking the business by holding ourselves saying that we have to get it rolled out within a week. We will get there. And with the new acquisition, we’re looking at how we integrate it so we have a consistent point-of-sale system across the whole company. Up to date, it’s been a successful rollout, and we will continue to keep it going.
Michael Cohen: Can you comment on the 180 stores that have seen it rolled out? And what type of – is the lift consistent with what your expectation has been?
Stuart Grimshaw: It’s a productivity issue. What we’re actually seeing is the processes can be actually achieved in a much quicker timeframe than what we have had. It’s been – there have been slight uplifts but it’s still too early to, for instance, if you roll that 100 stores in October, it’s still too early to see what the exact uplift is. What we do know is that we can get more face time with our customers that will generate long-term revenue for us and give a great interaction. So we’re hopeful that will provide a lift both in the lending and sales. But the magnitude of that, it’s still too early to actually document.
Michael Cohen: Great. Thank you for taking my question.
Stuart Grimshaw: Thanks, Michael.
Operator: I’m showing no further questions at this time. I would now like to turn the conference back to Mr. Grimshaw for closing remarks.
Stuart Grimshaw: Thanks very much. Thanks to everyone for dialing in this morning. Apologies if you’re on the West Coast listening to this, still very early in the morning. But we appreciate your interest in the company. Danny and Jeff are available for questions later this morning, and we welcome any interactions you’d like to have with us. But thanks, once again, and have a great day.
Operator: Ladies and gentlemen, this concludes today’s conference. Thank you for your participation, and have a wonderful day. You may now all disconnect.